Operator: Good morning and good evening, ladies and gentlemen. Thank you and welcome to DouYu International Holdings Limited Third Quarter 2021 earnings conference call. At this time, all participants are in listen-only mode. We will be hosting a question-and-answer session after management's prepared remarks. I will now turn the call over to the first speaker today, Lingling Kong, Buyer Director at DouYu. Please go ahead.
Lingling Kong Interpreter: Thank you. Hello, everyone. Welcome to our Third Quarter, 2021 earnings call. Joining us today are Mr. Shaojie Chen, Chairman and Executive Officer, Mr. Mingming Su, Chief Strategy Officer, and Mr. Hao Cao, Vice President of Finance. You can refer to our financial results on our website at ir.douyou.com. You can also check a replay of this call when it becomes available in a few hours on our IR website. Before we start, please note that this call may contain forward-looking statements made pursuant to the Safe Harbor provisions, for the Private Securities Litigation Reform Act of 1995.  These forward-looking statements are based on management's current expectations and observations that involve known and unknown risks uncertainties, and other factors not under the  control which may cause actual results, performance, or achievements of the Company to be materially different from the results, performance, or expectations implied by these forward-looking statements. All forward-looking statements expresses qualified in their entirety by the cautionary statements, risk factors, and details of the Company's filing with the SEC.  The Company undertakes no duty to revise or update any forward-looking statements for selected events or circumstances after the date of this conference call. I will now speak on behalf of our Chairman and CEO, Mr. Shaojie Chen. In the third quarter, we made solid progress in exploring new growth drivers for user traffic and revenue generation, while maintaining steady developments all  Total net revenues were RMB 2.35 billion and quarterly average paying accounts raised RMB 7.2 million. Notably, our average old Mobile MAUs for the quarter sustained the growth momentum from the previous quarter reaching RMB 61.9 million representing a 3.9% year-over-year growth.  Two key factors drove our continued year-on-year growth. First, as mentioned in our last earnings call, we continue to benefit from the broadcasts of several large-scale eSports tournaments such as the LTL Summer  2021. This broadcast not only attracting new eSports users but also galvanized inactive  to return. Second, we'll deepen our collaboration with TopGear game developers, while also increasing our investments in the new game content. In the 4th quarters with partnered with a wide range of developers to bring more  and  games to our platform while strengthening our promotional and operational efforts on this new game.  For example, during the quarter, we introduced two mobile games, including Battle of Golden Spatula and . Through a series of content and operations-related activities, we collaborated with game developers in the launch and marketing phases for this game to increase . By recording cost streamers to create quality content for these games, which effectively highlighted each games features, utilizing various game console formats. Successfully attract many live and moderate gamers to our platform. Now, turning to our content updates. The solid foundation of our comprehensive content ecosystem underlies our user base expansion. In the quarter, we continued to engage our highly comprehensive content library, which expanded game generous.  Generate personalized content for each game, to cater a variety of user needs, of user needs, refine our path on operations, and  wide range game - centric content community for our users. To elaborate, in the domain of large-scale eSports tournaments, we maintained our close partnerships with developers continue to provide high-quality eSports content. And foster  between our top  and our eSports content. Focusing on live forecasting as a core operation for large-scale eSports tournaments. We've provided multichannel  sessions and in-house predict the PGC content, to meet the wide  our users.  In the quarter with forecasted over 60 large-scale eSports tournaments and produce over 70 eSports tournaments in-house. Notable we forecasted the sum -- the LTL summer 2021 tournaments which is the highest-level League of Legends professional tournament in China, with the  content for the in-house. On the mobile front, we've successful attracted new mobile users will incentivize operational and marketing initiatives. More over for the keith taper Elite League of 2021 seat and swim tournaments. I'll social raise the high 6 years professional Chinese League. We invited a number of influencers, who are also our peace Kapor, Eli's tumor to participate in the total  rate and analysis to through?  and improve the overall viewing experience.  Meanwhile, four days CFML Summer 2021 tournament of professional for crossfire mobile, walkaways, game developers, to launch promotional programs, featuring high-value in-game items to drive new growth. emulate yielding engagement, and improved the building experience. Furthermore, we attracted at Stanley camp new users and galvanized that we came of all users through a number of marketing campaigns and related copies exposures, our self-produced eSports events, such as League of Legends, China vs South Korea deal. During this large-scale eSports tournaments, we also incorporated an on-demand playback function and produce a series of relevant video clip, graphics, and community discussion to further enhance user engagement in the non-live forecasting conference.  For non eSports games, we endeavored to cover more game genre. Even cooperation with Morgan developers and strengthens the operation of each games full life cycle given that non esports gaming content is better viewed in the graphic and video format. We upgraded our product features with Company integration of live streaming, , graphics, and community interactions to attract more high-quality gamers, and  to our platform. In addition, we're continuing to refine our operations, hold relevant in  hot topics, and guided interactive discussions among developers to immerse content creators and users.  Through our high-quality content and optimized product features, we are able to make various  links for entertainment, learning and interaction and that's attracting more users to our platform. More importantly, we have made good progress in  our operating strategy for each segment, including live-streaming, video, graphic, and community, especially for our recent launch, non eSports games. Turning to sample, our flagship game launch in the last quarter's Naraka: Bladepoint, return its growth trajectory in the third quarters, showcasing high risk-taking users our platform.  For other new games, long staying this quarter, Battle of Golden Spatula and Harry Potter, Metric Awakens also performed as well, based on global user engagement and increasing live streaming volume. These improvements are results of our continued commitment to  and supporting top tier streamers, customizing content offerings, optimizing our segment operations, and upgrading our platform with more interactive product features. During the quarter, to augment our content production efficiency, we committed additional resources to our research and development capabilities.  For example, in third quarter, we launched a new content production choose, and a one-click video production function in the  training room on our website. With these two, users can easily add the latest two minutes of  streaming sessions, and  the upload the attitude content to our Baidu and community segments. We expect that this update will increase UGC content creators’ enthusiasm and to simulate interactions within our communities. Going forward, we will continue to execute our game - centric content ecosystem strategy.  We will continue to enrich our offerings of game content to meet with the diversified means of our users. And attract more users through our refining operations of new and existing popular games. Now, turning to monetization. In the third quarter, our quarterly paying users, tele code of 7.2 million with an op pool of RMB307. We were able to sustain the size of quarter paying users, as we continue to execute our proactive offering strategy, to improve user engagements and paying user consumption.  We also keep exploring new monetization masters, while maintaining stable revenue contribution from the traditional  model. Let me also touch briefly on our development in overseas markets. Now Games remains one of the top-ranking mainstream video games live streaming apps in Japan for the last 2 quarters according to app earnings. Given that video debate is achieving scale, we enhanced to Mauldin commercialization during the quarter, and made meaningful progress.  In the future, we will further solidify our market position in Japan and strengthen the monetization capabilities of Mauldin. They are optimizing operation efficiency to maintain healthy growth. In summary, during the full quarter, we made full headway in exploring new growth initiatives, while maintaining the steady development of our corporate analysis. Building on our industry leadership in live-streaming we deepen our collaborations to the game developers in multiple dimensions and providing gamers and users with comprehensive game content offerings.  Combining live streaming, video, graphics, and interactive community. Leveraging our competitive plan in paying over consumption and what you'll gifting we will continue to explore diversified monetization models and improve our financial performance through effective product the land investments, consumer engagement, and content operations. I will now turn the call over to our Vice President of Finance, Mr. Hao Cao to go through the details of our financial performance in the quarter.
Hao Cao: Thanks. Good evening. Hello, everyone.  revenues in the third quarter of 2021 were RMB 2.35 billion, live streaming revenues were RMB 2.21 billion, compared with RMB 2.35 billion in the same period of 2020. Our live streaming business remained relatively stable and our long-term sustainable operating strategy. The year-over-year decrease in live streaming revenue was due to several notable fan engagement designs we launched in the summer of last year led to the increases in paying user conversion, resulting in higher revenue base in comparison.  This decline was partially offset by organic growth of average revenues per paying user, driven about implementation of more effective operational strategies. Advertising and other revenues were RMB 137.5 million compared with RMB 197.8 million in the same period of 2020. A year-over-year decrease was primarily due to trial testing of our new commercialization model was a portion of our advertising traffic to standout monetizing for our traffics through traditional advertising channels. As a result, we forfeited some potential short term revenue gains, improved sustainable long-term growth.  Backup revenues in the third quarter of 2021 decreased by 5% to RMB 2.07 billion from RMB 2.18 million in the same period of 2020. More specifically, revenue shared fees and the current costs decreased by 5.6% to RMB 1.84 billion from RMB 1.95 billion in the same period of 2020. The decrease is mainly in line with the decrease live streaming revenues. This decrease was partially offset by higher spending on e-Sports tournament broadcasting rights and additional investments in proprietary content production, as we continue to invest in high-quality gaming content. Bandwidth costs in the third quarter of 2021 decreased by 3.4% to RMB163.4 million from RMB 169.1 million in same period of 2020.  This decrease was mainly due to lower bandwidth costs which benefited from our improved procurement efficiency with major suppliers and a possibly due to lower bandwidth which costs as a result of the continued technology upgrades in-house. Gross profit in the third quarter of 2021 was RMB 278.5 million compared with RMB of 369.4 million in the same period of 2020. Gross margin in the third quarter of 2021 was 11.9% compared with 14.5% in the same period of 2020. This decrease was primarily due to the decline in revenues exceeding the decrement of revenue sharing fees and the content costs.  Sales and marketing expenses in the third quarter of 2021, were RMB 218.9 million. An increase of 36.6% from RMB 160.3 million in the same period of 2020. This increase was mainly attributable to the increased costs from utilizing additional promotional channels for user acquisition. Research and development expenses in the third quarter of 2021 were RMB 123.2 million, which represented an increase of 12.4% from RMB 109.6 million in the same period of inventory. It increases was primarily due to increased investment in technical personnel to continue our overseas expansion and the knowledge in infrastructure upgrades or in enhancing our user experience.  In our end  majority of expenses in the third quarter of 2021 were RMB86.5 million decreased by 8.1% of RMB 94.2 million in the same period of 2020. The calculated loss from operations in the third quarter of 2021, we expect share-based compensation expenses was RMB 91.0 million, compared with an adjusted operating income of RMB71.2 million in the same period for 2020. Net loss in the third quarter of 2021 RMB143.5 million compared with net income of RMB 5 59.6 million in the same period of 2020.  Adjusted net loss in the third quarter of 2021, which excludes share-based compensation expenses, share of income in equity method investments, and impairment loss of investments was RMB 72.7 million compared with adjusted net income of RMB 98.7 million in the same period of 2020. The third quarter of 2021 basic and diluted net loss per ADS were RMB 0.37 and RMB 0.37 respectively. Adjusted basic and diluted net loss per ADS were RMB 0.16 and RMB 0.16 respectively. As of September 30, 2021 the Company had cash and cash equivalents, restricted cash, short and long-term bank deposits bank deposits of RMB 7,078 million, compared with RMB 7,622 million as of December 31, 2020.  We would also like to provide an update on execution of our share repurchase program announced on August 30, 2021. In which the Company may repurchase up to US$100 million of its shares until August 2022. As of September 30, 2021, the Company had repurchased an aggregate of $4.3 million worth of its ADS under this program. We have continued in-housing of monetization capability, while further improving our monetization efficiency. Additionally, as we continue to grow, we will focus on further utilizing our operating leverage to support the sustainable development of our platform. This concludes our prepared remarks for today. Operator, we are now ready to take questions.
Operator: Thank you very much. Ladies and gentlemen, we will now begin the question-and-answer session.  Our first question is from Lei Zhang of Bank of America. Please go ahead
Lei Zhang:   Thanks management for taking my question. Two questions here. First, on regulations as long -- or do you see an impact on the substantial enough game approval process recently and how do we look at the regulatory change going forward? That comes mainly on our corporation or which holds in the agency. Do we see an increased  in the live-streaming hosts set and adding  from the increase of revenue sharing ratio across your major tiers and how should we look at our revenue  going forward? Thank you.
Hao Cao:      
Shaojie Chen: 
Lingling Kong Interpreter: First, to talk for your first question regarding the suspension of new games - a lot of new games. The short answer to that is, we have not seen any significant impact on our existing users. In terms of regulations, there are 2 or 1 either suspension we've seen in the launch of new games currently and is otherwise is actually counted moderation. For the first, the suspension of new game launches, is actually, it will -- can have a slower impact on the new user acquisition. For us, is that we're seeing the approval of new game is not on-hold rather than, they -- this expansion is actually cost gamers, spenders for approval of new game.  Which we believe, there will be more kind of high-quality game launched into the market, which will be beneficial for us, and for the whole gaming industry in the long run. Recently, the quality of the new games launched on our platform actually is very high, such as Battle of Golden Spatula. We have seen quite encouraging operations over there. For the -- the other is the containable duration, Company management, especially regarding -- they cannot gain -- they don't have the approval to distribute semantically. rate.  And for that, we will gradually adjust our content offered on the platform to ensure that on one hand the quality of the game, and on the other hand, we will make sure that those content are fully compliant with current regulations. Regarding to your second question on the competitive landscape on the similar resources. Actually, currently the  is under contract with us will not be affected by other competitors in the industry raising their sharing -- revenue sharing percentage.  Of course, we have seen that the first is the number of  streamers available in the industry is quite limited. So, it's very hard for new entrants to establish a slimmer ecosystem that is -- can be competitive with existing platforms. And the other thing is that since the streamers are far from moving to  platforms on their current contract. We're seeing that the current competitive landscape for similar resources remain quite stable. So, it is -- so in the light of all the factors above, all the other platforms will not be able to attract high found  nearly by increasing their revenue sharing fees and especially in terms of promoting new games.  We actually collaborate with game talent agencies to refer a large number of streamers, to ensure we have the quality and quantity of new game content offerings before you extend segments. So, we have the -- we have lots of operational know-how and big data analysis to devote resources to those new streamers and help them to become the top streamers for our new game segment. In term of revenue sharing percentage, actually we offer certain incentive to streamers doing some promotional period. So therefore, the other revenue sharing ratio may fluctuate from quarter-to-quarter. And while we believe that our current revenue shale on ratio is reasonable and we will adjust it according to the industry dynamics going forward, thank you. Operator 
Lei Zhang: 
Lingling Kong Interpreter: Great, thank you.
Operator: Thank you. The next question is from Thomas Chong of Jefferies. Please go ahead.
Thomas Chong:    I think the question that we are seeing the online video platform, short-form video is also investing in the slide streaming internet. So, I just want to see how we should think about the competitive landscape and also how we can meet the market going forward? And my second question is, with regard to the newly launch games in the market, which one are we seeing are doing better and any data can be shared? Thank you.
Shaojie Chen:   
Lingling Kong Interpreter: Thank you so much. And for a fourth question is that we have since the fourth quarter of this year, we do not see significant changes inform of the competitive landscape in the game live streaming industry. Ever since the streamers are prohibited moving between platforms on their account here with the competition in the industry has remained quite stable -- stabilized. We have seen that short video platform have been expanding in today's game live streaming sector, which has generated more traffic for the sector. We believe we will attract a more diverse elder group to  And listen live the potential market size for the entire game live streaming industry.  So, on top of this updates, we upgraded our content ecosystem, including video and communities, and establish acquired comprehensive content library, covering a wide range of game generally. So, seeing -- our AV1 strategy is to establish game - centric content ecosystem. Leveraging our exact understanding of the gaming industry and there's rich experience accumulated over the past few years. We will continue to engage our  content offerings  a live ranging  community and then attract more users to our platform.  So, we will continue to deepen our cooperation with game developers to cover more game genres, expanding our content coverage, young eSports tournament should cover non eSports games. We aim to build an integrating content channel for each of the games we offering. the game we operate. We believe that by enhancing the interactions between users and content creators on our platform, and by offering more high-quality content, we will enforce our leadership position in the game - centric integrated content platform in China.
Hao Cao: Let me answer your second question. We have EBITDA, a strong momentum for a number of games with  this year. Including     launched in September. In the month following the year launches over all live streaming volume, and the user engagement increased their bimodal 100% multiple months. These game to continue to perform well and on database, gaining popularity and the improvement in rank among all games on our platform. Eventually  became a top 10 platform game income saver, total user, time spent in live streaming during the third quarter.  In addition, we are at the forefront of our industry in terms of the number of top streamers, live streaming volume and users’ engagement for these new games. We enhanced the arbitration of each game segment on English  contained  by integrating live streaming, video clips and  tries to meet various user need. We leveraged our top 3 market tool for our anticipation and the excitement among target consumers. Prior to the launch  this new game and the recruiter, new streamers to ensure the quantity and the quality about contained offerings.  And at the same time, we fully leverage each game to be targeted to increase user engagement. For example, we promoted a  in order to attract more . Regarding the beta-testing of , we continued to offer higher quality PGC game content to our users to by coveraging these professional event operators. Our premium PGC continue to operate have not only enabled us to improve viewing experiences but also gained recognition as part of our game developers. In general, our operations for the full life cycle of games have generated marketable results and attracted us many new users to our platform. These results fortify our commitment to our pub   contender community.
Lingling Kong Interpreter: Operator. Next question,
Operator: Thank you.
Lingling Kong Interpreter: Please.
Operator: Thank you. The next question is from Lee Wen Zhang of China Renaissance, please go ahead.
Lee Wen Zhang:   Thanks for taking my question. I have two questions. Software regarding the  in the low bar, the title is the balance sheet on the October. How was it performance our platform and if we can this year, what other large titles do we expect that will be released? And then secondly, on the  trip or  tournament? How do you see its performance this year, in terms of the operation metrics or revenue contribution? Thank you.
Hao Cao:  for the approach we were talking about is  mobile. We have accumulated  and experience from our operations on our PC version over the parts variances. On top of this, we deliver our integrated operation approach for our will be beneficial to our overall operations for our mobile. For the users of our PC version, are the first batch of users for its mobile version. Throughout our operations of  over the  and several . We have maintained conversion rates from our PC player to our users at a high level.  This is a clear reflection that LOL is highly suitable for live streaming. The launch LOL mobile will further galvanize the return of our older players to watch it. Related to gaming content on our platform. Given the easier play better of LOL mobile, we expect small viewers  game content on our platform as the number of players continues to increase. And the second to that, we have a lot of  of a high-quality  streamers. Our top streamers from  mobile with a PC second, live streaming. LOL mobile games to be   for the mobile versions.  On the other hand, our key streamers pool or lost part too quickly cultivated streamers and internally  and generate a preliminary game contender more  In addition, our long-term collaboration with Tencent, allows us to effectively integrate our promotional efforts to be the LOL all show contender and activity. That's enjoying  motion and the operation about LOL mobile. Based on  as the mentioned above, where you started up cooperating basic empty bag  remarks, and video greater  testing to  LOL Mobile  and excitement among targeted consumers.  And additionally, we coordinated premium to be more standard video greater to  the PGC content and game-related hot topic to sustain our leading position in the operations of the new game. The popularity of our mobile has continued to encourage since its launch in October. Thanks to our  contribution and support of top 3 most, the integrated operations of our live streaming video and graphic content, parallel to promotion in association with the H11 LOL. What's having shipped on a theory as ARVO sounds, cardio to continue such as LOL Master Tournament.  We achieved strong growth and momentum for LOL Mobile since its launch in  of all live streaming volume and duration as well as we yield our engagement. And I have mentioned H11 and the second question is about H11 The LOL World Championship, is the largest LOL official, annual tournament. And has always attract the larger number of viewers. LOL has always been a strong second in the bar  have with intel resulted of a well-known streamer, and a multi-faced streamer and a contender ecosystem for this segment.  For H11 this year, we fully leveraged our rage contender resulting to provide live streaming content in various formats and the edited programs. Based on the co-product cutting of the tournament and our  promotional event, we incorporated an on-demand playback function and produce a  video clips and community discussion. In addition, we provide more viewing formats including horizontal viewing positions for the community mobile users. Well, are mostly known initiative to have improved our users and gave them enough other tournament.  Optimizing our viewing experiencing under attracting more premium users travels platform. But we also achieved with the significant progress on creating between tournament and LOL came through costing and obligations of H11. Elaborate on, though is a high quantity streamer, it's also  platform gravitate over a larger user base and a high level our user engagement of  successfully encourage  game platform user Viewing time for H11 Tournament reached the RMB1 billion. The billion in time for our in-house brought us through programs towards over RMB178 million. More and constantly total interjections on our H11 communities deposit of 100 million times the market treating that our barrier to contender becomes the more appealing to our users. Thank you. Next question.
Operator: Next question is from Daniel Chen of JP Morgan. Please go ahead.
Tim Chen:   I will translate myself. Thank you, Management, for taking my questions. I'll ask you 2 questions on behalf of Daniel. Firstly, you mentioned that the Company is seeking additional ways to diversify monetization by leveraging some traditional advertising resources. Can you give us some more color on the current progress, and your expectations on that? The second question, can you brief us on the progress of a $100 million share repurchase programs? Thank you.
Hao Cao: The first question, we generated advertising revenue by offering game and brand advertising to  this. Our brand advertising revenue has remained relatively stable, driven by stable user traffic on platform. We have  implementing new monetization  of certain game advertisements and resources. On the traffic side, we sacrificed a portion of our advertising revenues to reallocate some of the advertising banners, and commercial live streaming resources for our new monetization model. Our advertiser site, we selected some premium advertisers and incorporated with them explore new monetization opportunities.  We've gotten the new monetization model, established a smart distribution system for new games by connecting game developers with live streamers. And developers are able to release promotional campaigns on our platforms, while live streamers can choose their preferred promotional method. By implementing this smart distribution system, we hope to boost  receptiveness in game downloads and activations. And we have rolled out a number of initiatives to support this goal.  We have developed a variety of handy flapping extensions within the system to support our live streamers as they encourage users to download and activate games. Second, we have motivated our streamers by implementing incentive plans directly connected to promotion effectiveness. Said, we have protected little less streamer to join us by promoting  and offering systematic train. First, we have leveraged of  cap ability proceeded batching, pricing, and distribution between game resources and live streamers traffic.  So, if this  develops well, we believe it will enable us to better leverage user traffic on platform and showcase streamer  additive  capturing the traffic potentially been. Development of this modal, will enable us to generate more value for games to manifest and diversify income sources for our live streamers. Eventually, this Mark game distribution system, will allow us to unlock higher monetization potential. With respect to the repurchase, other studies we announced $100 million share repurchase program of period of up to 12 months.  As of September 30th 2021, we had repurchased $4.3 million worth of ADS on the open markets. We started the share repurchase immediately after the announcement and have been actively executing the programs. As required by regulation, we have also appointed professional institutions to SQ our share repurchase schedule. Subject to current market conditions, we will continue to provide updates on  in the coming quarters. Thank you.
Lingling Kong Interpreter: Operator. Next question, please.
Operator: Thank you. The next question is from Alex Poon of Morgan Stanley. Please go ahead.
Alex Poon:  My first question is regarding Cloud gaming business. Can we get some update and our future expectation for the businesses? And second question is regarding our overseas business, how is the performance in third quarter? And what do we expect going forward? Thank you.
Hao Cao: Let me answer your question about the Cloud game. After more than a year ago exploration with our partners and  based product  features of our Cloud game are now largely complete. And for the quarter, we have also continued to update the product such as the Grand Theft games for the Android mobile of watches -- mobile play store.  We believe that Cloud gaming is a new development opportunity for the gaming industry. However,  had nothing to speed limit by a number of issues such as the copyrights, culture, and gaming capability. As our gaming  contender platform with  position to capture the opportunities of the developing of the cognitive gaming industry.
Shaojie Chen:  
Lingling Kong Interpreter: Mr. Chen will address your questions regarding the development of overseas markets. For the overseas markets, it's actually our strategy is to acquire the traffic before monetization. Over the past few years -- quarters, our domestic business in China has been profitable. Which means the majority of our investments has been made overseas, especially in Japan. According to App Annie, Mahjong has remained the top video game live streaming app in Japan for the last two quarters.  And the user side has been developing and sustainable at a very healthy level. Seems -- actually, may this year -- actually, once we can raise the most users’ size in Japan, we actually prioritize our strategy from user accumulation to traffic monetization. Going forward, we will further enhance monetize integration capabilities, and narrowing -- gradually narrowing our losses. So as such, in the third quarter, we have continued improving our operational efficiency and successfully reduced our losses in the overseas markets. Thank you. Next question please, Operator?
Operator: Thank you. The next question is from Ritchie Sutton of HSBC, please go ahead.
Ritchie Sutton:  Let me try to translate that question myself. First of all, can you update us on the video and community features? What's the update and also how -- when the FIT contributes more in terms of MAU. Second question is: Can you comment on that content cost trend in this quarter and how will the trend be going to the future? Thank you.
Shaojie Chen:    
Lingling Kong Interpreter:  will address the 4th question, as regarding the video content development and community duty. Actually, our part of our accounting diversification strategy, derived from our compacting strength in traditional live streaming businesses. The competitive nature of e-Sports games makes the  training day ideal distribution channel to present the excitement of the content and ensure the continuous content offerings. In order to satisfy the willing needs of each our users. However, for non-e-Sports games, live streaming is not the fastest  channel to acquire users. Instead  content in communities are more simple forms of media to provide content, such as game guide, tutorials, premium videos and participation in game related activities.  So therefore, we have an additional resorted to video graphic content and communities for online sports games, while maintaining our advantages in the traditional e-Sports settlement. As you know, live streaming, video graphic content and community are all interconnected, as part of our content ecosystem. We aim to create a separate segment for each game in our platforms. We will also cooperate with game developers to develop more comprehensive contents and quality content, in all content format. We aim -- we're committed to offering more diversified content to satisfy the various needs of our users.  And in turn to attract and sustain more users to our platform. Part of your second question. In Q3 2021, conference call increased on year-over-year basis  in the spending on forecasting-wise for H11 Tournament, especially LOL. Additionally, with many further investments in PGC content production, as we continue to execute our game - centric content strategy. Looking ahead, given that pricing for the right of major LTL Tournaments have already been determined and that we have managed to control the cost of our self-produced programs. We expect costs associated with these spoke to them and see rise and self-produced content to remake regulated stable for the foreseeable future. Thank you. On behalf of the management, thank you for joining our call. We look forward to speaking with anyone next quarter -- everyone next quarter. Thank you.
Operator: Thank you. That concludes the call today. Thank you everyone for attending, and you may now disconnect.